Operator: Greetings, and welcome to the American Vanguard Corporation Fourth Quarter and Full Year 2011 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bill Kuser, Director of Investor Relations for American Vanguard Corporation. Thank you. Mr. Kuser, you may begin. 
William Kuser: Thank you very much, Rob. Welcome, everyone, to American Vanguard's fourth quarter and full year 2011 earnings review. Our speakers today will be Mr. Eric Wintemute, Chairman and CEO of American Vanguard; and Mr. David Johnson, the company's Chief Financial Officer.
 Before beginning, let's take a moment for the usual cautionary reminder. In today’s call, the company may discuss forward-looking information. Such information and statements are based on estimates and assumptions by the company’s management, and are subject to various risks and uncertainties that may cause actual results to differ from management’s current expectations. Such factors can include weather conditions, changes in regulatory policy, competitive pressures and various other risks as detailed in the company’s SEC reports and filings. All forward-looking statements represent the company’s best judgment as of the date of this call and such information will not necessarily be updated by the company.
 With that said, we'll turn the call over to Eric Wintemute. 
Eric Wintemute: Thank you, Bill. Good morning, everyone, and welcome. Thank you for joining us as we report on a very successful fourth quarter and full year 2011. David and I welcome this opportunity to tell you more about that record performance and the prospects that we see on our horizon. 
 Before conducting the business of the day, I want  to pause for a moment to acknowledge the passing of a member of our Board of Directors, Mr. John Miles. As you may have read in our announcement yesterday, John was a highly regarded and long-standing member of the board. His counsel on many of our product acquisitions contributed significantly to the growth of American Vanguard. His guidance to management was always properly balanced with his fiduciary responsibility to shareholders. He was a "roll up your sleeves and address the issues" kind of guy, and we are all better at what we do for having worked with John. As we indicated in the closing words of our announcement, we will dedicate ourselves to accomplishing the excellent performance and business success that he worked so hard to help us achieve.
 Thank you. I'm going to let David give you all of the operating and financial metrics. I want to start by providing an overview of this outstanding year for American Vanguard. Revenue's up 34%, gross profit margin expanding to 40%, operating expenses reduced to 28%, and the all-important bottom line net income double that of last year. As David will describe, our balance sheet remains very strong and shareholders' equity in American Vanguard increased this year by 12%. 
 We had a game plan for 2011 and included a number of key factors which have been articulated in our earlier conference calls with you. The main factors included successfully integrating our new 2010 product acquisitions, exploiting strong marketplace demand and key product opportunities and improving manufacturing utilization while maintaining financial discipline. 
 As our record performance indicated -- or indicates, we have accomplished these objectives. We have successfully integrated the domestic and international businesses that we acquired from Bayer CropScience in the second half of 2010, and they contributed approximately half of our year-over-year revenue gain. These 4 product lines are poised for additional growth in future years. 
 In 2011, we have taken advantage of strong market demand for our Granular corn soil insecticides and maintained solid performance with our industry-leading metam soil fumigants. 
 We have successfully substituted our THIMET insecticide as a replacement in certain applications for a competitive product that has been withdrawn from the market. We have also continued to benefit from the niche market strength of several of our specialized products, such as the cotton harvest defoliant, FOLEX, and our mosquito adulticide DIBROM. 
 This strong demand for many of our products has allowed AMVAC's 4 domestic manufacturing plants to run at considerably higher rates, and thereby, cover more of their fixed costs. And while our overall operating expenses have increased with the expanding scope and size of our global business, we have managed these costs with discipline and reduced their percentage of total sales, contributing positive leverage to our bottom line. 
 With that overview of 2011, I will now turn the call over to David, who will cover the financial and operating details. I will then return with additional comments about the factors we see shaping a bright future in 2012 and beyond. David? 
David Johnson: Thank you, Eric. As Eric has already mentioned and as you will have read in our earnings announcement, sales for 2011 increased by 34% to $304 million as compared to $227 million in 2010. Within this number, our crop sales were up 35% to $275 million and our non-crop sales were up 24% to $29 million. 
 In our 10-K filing scheduled for later this week, you will see a detailed description of sales by product groups. In summary, insecticides recorded sales of approximately 63% over the prior year. This group includes MOCAP, NEMACUR, and AZTEC 2.1, products which were acquired in December of 2010. 
 Our other crop sales were up nearly 47%, primarily driven by FOLEX sales. The balance of our crop sales were up approximately 5%, primarily as a result of a strong performance from our herbicides. Our non-crop sales were up about 24%, mainly as a result of demand of our mosquito adulticide product and also as a result of increases in our pest strips business, offset by PCNB sales into the U.S. turf market which did not restart until the EPA-approved labels at the end of November 2011. After reentering the market, the products sold briskly for a short period until weather prevented further applications. 
 I am pleased to be able to report that our newly acquired brands have performed quite well in 2011, notwithstanding some supply challenges. Sales of these products continue to contribute to the little more than 50% of our overall net sales gains for the year. These newly acquired brands also contributed to the 62% year-on-year increase in our export sales. 
 Our gross margin in 2011 was 40% of net sales as compared to 38% for 2010. This was driven by both an improved mix of sales and better overall factory manufacturing performance. 
 Operating expenses increased by 25% as compared to last year. This supported an overall increase of 34% in sales, with substantial increases in new products and export sales. Included in this cost increase, we have amortization expense associated with newly acquired products; higher product defense costs on our expanded portfolio; further expansion of our field-based product stewardship activities; the addition of new people, primarily to sales, technical and regulatory teams to improve resources focused on building both organic sales and the sales of new products. 
 Freight costs reduced as a percentage of sales from 7.4% to 7%. This has been achieved despite the significant increase in export activity mentioned a moment ago. Increased incentive compensation accruals reflecting the substantially improved financial performance. 
 It should be noted that for this 10-K, the company has reclassified certain program costs from operating expenses, resulting in a reduction in both operating expenses and revenue. Historically, the majority of program costs have been charged against revenue. The amount of the reclass is immaterial and has been done for all comparable numbers. The reclassification has occurred because charging to operating expenses requires collecting supporting data from customers. And as the business continues to grow, that process has become unduly burdensome, both for our customers and for the company, considering the minor level of these charges. 
 As an example, the expense moved in 2011 is approximately $4.5 million, and in 2010, is $2.8 million. The programs involved are primarily related to the corn market which has grown very strongly in 2011. This reclassification has an immaterial impact on net sales, gross margins and operating expense, and has no impact on operating income or net income. 
 One key metric that we track is operating expenses as a percentage of sales. This year, we posted 28%, an improvement as compared to the 30% achieved in 2010. The net result of these dynamics is operating income of $39 million versus $19 million this time last year, an improvement of 104%. 
 Our interest expense, as a percentage of average debt, is reported flat as compared to last year. However, this year, our expense includes certain costs related to the amortization of discounted liabilities on acquisitions completed in Q4 of 2010. These costs will drop somewhat in 2012 and then more significantly in 2013 and beyond. Furthermore, you will see in the 10-K statement the underlying interest rate and associated expense is significantly lower than last year. This is driven by the very careful control on our cash position, which has enabled us to eliminate use of revolving debt to cover working capital needs for a substantial portion of 2011. 
 Income before tax improved from $16 million to $35 million, an increase of 118%. Our effective income tax rate is 37.4% as compared with last year, at 32.2%. This increase has been caused primarily by the much improved operating performance which tends to reduce the beneficial impact of some fixed deductions. Further, there were some beneficial impacts in 2010 related to the treatment of certain items that did not carry forward and benefit 2011. 
 As noted by Eric and in our earnings announcement, our net income has increased 101% and our earnings per share has essentially doubled from $0.40 last year to $0.79 this year. When reviewing the balance sheet, you will notice that our inventories are down $3 million at $71 million, as compared to $74 million this time last year. This has been achieved on higher overall sales, the integration of new product lines and the increase in equitable business, and represents a significant improvement in our performance on this aspect of working capital management. 
 Our receivables ended higher than last year at $70 million, as compared to $34 million. This is driven by the stronger Q4 2011 sales performance. It is also pleasing to be able to report that collections against the Q3 balance of $97 million went extremely well during the final quarter of the financial year. 
 Our program balance ended higher than last year and is driven by a few key dynamics. First, as noted a moment ago, we have significantly stronger sales in Q4 of 2011. And second, we have more product lines this year that have a program involved. Offsetting these 2 drivers, we paid 100% of our program liabilities that were due and payable in December of 2011, as compared to approximately 70% in the same period of the prior year. 
 Our overall -- our stronger overall sales and profit performance and our careful working capital management enabled us to really drive cash hard during the latter part of the year. As you will have seen in the balance sheet attached to our earnings announcement, we ended the year with $35 million in cash. This is the strongest closing cash position in company history and places us in a strong position as we look forward to 2012. It is worth noting that, as Eric mentioned, in response to strong sustained demand for certain of our products, we plan in 2012 to invest in expansions to both our Axis and Hannibal manufacturing facilities. This will drive up our capital spending above normal levels for this new financial year. 
 I want to close with a few points from our Q4 performance. Our sales were up 36%, ending at $85 million. Our gross profit for the quarter ended at 40%, as compared to 41% last year. Our operating expenses ended at 25% versus 28% this time last year. Net income for the quarter was $0.23 versus $0.14 last year. With that, I hand back to Eric, who will close with some additional comments. 
Eric Wintemute: Thank you, David. For many years, American Vanguard has acquired a number of agricultural chemicals that many in our industry did not see of value, and which many observers of our industry deemed irrelevant. We believed that while newer genetic and chemical technologies would contribute to the advance of modern agriculture, there would always be a need for traditional chemistry. And indeed, while genetics and newer chemistries have contributed significantly to improved agricultural productivity, inevitably, weeds, insects and fungi will challenge new defenses. As tolerance to these new approaches has emerged, it has become increasingly clear to growers, academics and even regulatory officials that traditional chemical tools are still important, must be maintained and will play a vital role in addressing the ever-changing challenges of nature. 
 AMVAC's product portfolio is well positioned to serve this need as a part of the integrated pest management approach that represents the future of modern agriculture in the United States and around the globe. We feel the value of our products is gaining wider recognition and our business has begun to reflect the demand that is emerging for a broad range of highly effective, proven, crop protection tools. 
 Let's talk a little about corn, where we have substantial opportunities. The tendency for farmers to plant corn on the same acreage year after year, referred to as corn on corn, as opposed to rotating crops, has given rise to greater primary and secondary insect pest pressure. With each passing year of widespread glyphosate herbicide use, weeds and grasses tolerant to that chemical proliferate, leading to the increasing need for complementary herbicide use. As a result, we are seeing increased demand for our IMPACT herbicide, which addresses the glyphosate-tolerant weed challenge and our complete soil insect solution, which combines our portfolio of granular soil insecticides and our proprietary offering of advanced closed delivery systems. 
 Together, these initiatives constitute our yield-enhancement solution. Yes, which we are trademarking and will be promoting throughout the corn belt over the next several years. 
 Increasing yield is a critical objective of corn growers, which AMVAC can help deliver. These corn initiatives are a prime example of how preserving existing chemistry and equipment technology can contribute significantly to the efforts of American farmers to supply the country and the world with the food, feed and biofuel that it urgently needs. 
 For several years, we have maintained and demonstrated through field testing that by using both trait seed and our chemical insecticide products, it is possible to achieve yield enhancement beyond what can be achieved by using genetically modified seed alone. AMVAC's "Best of Both Worlds" message is being embraced and our corn soil insecticides are being purchased as the best insurance policy against high pest pressure. 
 Corn commodity prices have been strong. But even if they retreat to more moderate levels, there is still a very attractive benefit cost rationale for using both technologies to maximize harvest output. After several years, we have firmly established the role of our traditional chemistry in this application. 
 AMVAC has 4 primary Granular corn soil insecticide products for customers to choose from. AZTEC, SMART CHOICE, FORCE and COUNTER, available in both bag and returnable closed delivery systems. This offering of multiple soil insecticides allows growers to rotate these defensive measures as a part of a sophisticated integrated pest management approach. 
 As a result of the groundswell of demand for our soil insecticide solutions, we are ramping up our production capacity for these chemical products and the delivery systems and equipment designed to safely and efficiently disperse them in the field. 
 Our Axis plant has expanded its operations to accommodate necessary production. Our Hannibal, Missouri plant, which is ideally positioned within 500 miles of 80% of the U.S. corn market, will become the hub of our Midwest corn initiative, and our production of SmartBlock systems will increase very significantly in 2012. 
 In other crops, our granular soil insecticides are growing as well. Our primary product, THIMET, has substantially increased its market presence as a preferred replacement in certain applications for a product that was withdrawn from the market last year. THIMET is used in peanuts, sugarcane and potatoes. 
 Our COUNTER is also growing extensively in corn, sugar beets and bananas as a preferred nematicide. With stronger supply availability, our MOCAP and NEMACUR will continue their growth on potatoes, bananas, pineapples and a number of other crops. 
 We remain very excited about our potato sprout inhibitor, SmartBlock, despite the fact that EPA has asked for additional data, which will delay our registration and commercialization until next year. 
 On a positive note, trial work continues to display top-notch performance, which is building demand for this exciting post harvest age. We also submitted our registration package for the European market during the fourth quarter of last year and could anticipate approval for the 2014, '15 season. 
 We look forward to 2012 where we will gain from a number of positives factors, including strong demand for our granular soil insecticides in corn and many other crops; an increased supply of MOCAP that will allow us to fill strong demand for that nematocide; reintroduction of our PCNB fungicide business in the United States; and continuing improvement in our factory utilization rates that will absorb fixed overhead costs. 
 So to conclude, American Vanguard finds itself in a great place within a great industry in a world that must double farm production in the next 2 decades. In an industry that must adapt to the ever-changing challenges of Mother Nature, American Vanguard has positioned itself to be a major part of the solution. 
 Having the foresight to assemble and defend a portfolio of traditional chemistries is our foundation. Being a dynamic part of promoting integrated pest management and responsible product stewardship is our mandate. Dedicating our productive energies to high-quality, environmentally compliant domestic manufacturing has been our commitment. Creating a corporate culture that is dedicated to innovation, entrepreneurial initiative and opportunistic growth is our uniqueness. 
 We have great confidence in our ability to identify and position ourselves to capitalize on many growth-oriented strategic possibilities. We hope that you share that confidence and benefit from our continued success. I'll be now happy to entertain any questions that you may have. Rob? 
Operator: [Operator Instructions] Our first question is coming from the line of Michael Cox with Piper. 
Michael Cox: My first is on the revenue timing for the soil insecticides portfolio. Will that primarily hit here in the first quarter or is that because of the planting season coming more in the second quarter? And then also, just what level of volume are you targeting for 2012 for that set of products? 
Eric Wintemute: Mike, I think you were asking the soil insecticides, which is both corn and a multitude of other crops. So the -- there of course is the international piece which goes on both sides of the equator. Within the United States, the corn market, there are certainly sales in the fourth quarter and we had sales in the fourth quarter. First quarter is also usually a strong quarter. And then second quarter, depending on the time of planting, there can be some sales there as well. But predominantly, you're talking fourth and first quarter. With regard to THIMET, the sugarcane sales usually occur somewhere in the third and certainly by the fourth quarter. Peanuts, which is another big market, occurs kind of fourth quarter, first quarter. As far as -- I think your question was targeting what kind of volume, were you looking for a total dollar number of our projection of soil insecticides for 2012? 
Michael Cox: I guess I was actually referring more specifically to the corn and the rootworm and belowground in terms of volume expectations on that particular product for family? 
Eric Wintemute: I think we've basically increased the volume a little over 50% for this upcoming year and I think we believe that we will achieve those results. 
Michael Cox: Okay, great. As you look across the portfolio of kind of products and chemicals, could you estimate what the average price increase is for the 2012 season? 
Eric Wintemute: Across our portfolio of all products? 
Michael Cox: Right. 
Eric Wintemute: It's a good question. I haven't done that. I'm going to speculate that we're somewhere in the 5% to 6% on average. 
Michael Cox: Okay, that's very helpful. And then you noted the strength of export sales in the fourth quarter and continued the trend from all of 2011. Could you talk or speak to the specific regions that you're seeing the -- perhaps the strongest areas of growth and what you're doing to continue to expand into those markets? 
Eric Wintemute: Well, Europe had a big uptick for us with MOCAP that came on. Again, we were limited on the amount of MOCAP that we had. The Mexico market grew a few million for us. The Central America, where we've got our base in Costa Rica, was up pretty dramatically for us. I mean, we had good increase in Asia as well. I mean, all of the markets essentially, except for Canada, have had worthwhile gains. In Canada, just because of the lack of PCNB was the only reason. 
Michael Cox: Okay. And then one last question if I could. Gross margin was a little bit lower in the Q4 versus the last year and also versus Q3. Can you speak to what resulted in that lower margin, perhaps just mix and what sort of expectation should we have for 2012 gross margins? 
David Johnson: I think the main factor is the timing of manufacturing performance in Q4 of 2011 versus Q4 of '10. There was a slightly lower absorption, a low overhead cost. 
Eric Wintemute: And I think to -- we're still a little bit behind on our passing through costs on our soil fumigant, which is barely significant in the Q4. So that's a little bit lower margin than where it was the previous year. 
Operator: [Operator Instructions] Our next question is from the line of Daniel Rizzo of Sidoti & Company. 
Daniel Rizzo: Could you just give me the crop -- versus non-crop number one more time, please? 
David Johnson: Sorry, yes. So crop was up 35% to $275 million, our non-crop was up 24% to $29 million. 
Daniel Rizzo: Okay. And then you did a remarkable job with inventories. Is that what we can use as a projection going forward, as a percent of sales, which you did in the fourth quarter or was it more of a one time thing? 
David Johnson: There was nothing of a one time thing about it. It's just driving for -- driving on the inventory level and I would expect us to continue to work on that. 
Eric Wintemute: And I think we were also hoping to -- break into the significant part of that inventory which is PCNB. So that we will see pretty lowering over the course of this year. 
Daniel Rizzo: Okay, great. And then just something that was kind of touched on before. What are we seeing so far for like spring plantings and the demand for corn and I guess even peanuts going into the spring here, is it more normalized, is it late, is it early? 
Eric Wintemute: Well, I think everybody is thinking that this is going to be an earlier planting. Obviously it's been a mild winter. And so all the conditions kind of seem to go that it might be an earlier planting. Demand for corn, obviously, is very strong. The 93 million acres that I think is projected is going to put pressure on the other crops. Cotton, planting-wise, may be down a little bit from where it was last year. However, 4 million out of the 13.5 million acres that were planted last year didn't get harvested due to drought. So if there aren't strong droughts, we would see improvement in our BIDRIN product. Although our FOLEX product line did extremely well even with the drought last year. With peanuts, peanuts growers did very, very well. That didn't have contracts and have the -- I think the planting went down. There was 25% of peanut farmers actually had contracts and the balance were happy that they didn't because the price of peanuts was very, very strong. So the positive view's the American farmers are in the best shape financially than they've been in probably ever. 
Daniel Rizzo: Okay. And then one final question. With the bed bugs spray that -- I think it was new then, that was something that offered a lot of upside potential, at least making an [indiscernible] versions what you guys talk about, is that still on the pipeline or am I missing... 
Eric Wintemute: Yes, the EPA was looking for additional testing, which we've been doing predominantly at the University of Florida and West Virginia. And those studies are ongoing. We have obviously seen a surge and I think it was mentioned in the pest strip used under the new hemline, we also launched it -- launched those products into -- within our ag retailers as well. So we do see a considerable growth with that. I think Spectrum also is launching this quarter a retail pest strip for bed bugs which would -- they sell -- would sell through Home Depot and Wal-Mart, Lowe's that would have a enclosed container, or a plastic bag that you could put the strip in the plastic bag. And so we're excited about the opportunity. I mean, bed bugs are no longer on the front page of the paper everyday. At some point, you get a media burnout, but the problem has not diminished at all. 
Operator: Our next question is from the line of Jonathan Richton with Imperial Capital. 
Jonathan Richton: I guess my question is just more basic in terms of your acquisition strategy and new chemistries that you guys are looking for. You also made a small amounts of acquisitions last year, and I was wondering how you're thinking about that going forward, are you reaching a point where you're more hunkering down on -- with the portfolio you have and then looking to continue to grow that more organically or you're still actively out there looking to find new things to add to your portfolio? 
Eric Wintemute: No, we're definitely out there looking for new products and we're constantly evaluating those products and those opportunities that come available. Certainly the last batch of acquisitions we've had and the opportunities in the changing market have provided probably greater growth opportunities for our existing lines than we've ever seen before. But we've got a whole other team that focuses on acquisitions and licenses and they're charging ahead. So yes, we don't see slowing down in that arena. In fact, coming out of 2009 where everybody is trying to understand the economy, where it was going and again, our focus was balance sheet-driven. Given where we are today, we're probably poised and better positioned than we've ever been to make more substantial acquisitions. 
Jonathan Richton: And then are you seeing, in terms of proposing or getting, I guess, more farmers on board with the mix of GMOs and the chemistries, are you seeing any major pushbacks at all from that perspective or anything that's going on specifically with the larger guys that can cause that trend to kind of taper off a little bit? 
Eric Wintemute: Well, certainly, trait technology is always working to improve as there are opportunities for them to do so. We've had many meetings with the trait companies and I think there's a general understanding that chemistry can provide a benefit for the traits going forward. It doesn't mean that they won't continually work to improve the traits and that possibly can have an effect on the position. But I think that when 2006 hit, we saw the reduction in corn soil insecticides continue to go down until 2010 when it started moving back up. 2011 was up significantly prior to any university statements of any limitation on the trade. So our message is not about any issue with the traits, it's that if you're looking to maximize yield, taking the best trait technology and combining it with chemistry is going to give you your best yields, and the downside to using the soil insecticides is it's a lot easier just to plant seed. But given where farm yields need to go, farmers, I think, they're adapting the concept that we need to do everything we can to maximize and it's a combination of all the tools that are available to us to make that happen. 
Operator: Our next question is from the line of Jay Harris of Goldsmith & Harris. 
Jay Harris: First 2 quarters last year, you had exceptional organic growth. You didn't mention that in the third quarter. What did the whole year look like in terms of organic growth? 
Eric Wintemute: Well, so I think we said that half of our increased sales came from the new products and the other half came from -- so that would effectively come out to -- what do we add here, 3 -- 17% each, right. Well, there you go. 
Jay Harris: Okay, excellent. And do you have a sense that the numbers in 2012 could be as high or higher? 
Eric Wintemute: Jay, you're talking about -- you want to know what our budget is for 2012, right? And that's guidance and that's something we don't do. And I think we've reflected that we see, I think, a very strong 2012 ahead of us. Our soil insecticide business is going to be up pretty dramatically. And then as we mentioned, we've got MOCAP, that we think with better availability will be up and obviously PCNB. So we're very strong on this year. 
Jay Harris: Where are you heading in terms of inventory objectives for the end of 2012? 
Eric Wintemute: Well, I would be happy if we wound up where we are currently or where we stated at the year end. We may have had a little tightness in a couple of areas. I mean, I think it's more important that we forecast and project where we think growth can be and make sure that we've got the materials to meet that objective for 2013. But as I mentioned, of that $71 million, 25%, 30% of that is sitting in our PCNB products. So I think we've got some opportunity to shave that down and still take care of what we see could potentially even stronger growth in 2013. 
Jay Harris: Have you made any progress in restoring the label in Canada? 
Eric Wintemute: No. I think we're viewing that as potentially a 2-year process. I mean, at current, they're asking us to go ahead and resubmit which will put us into -- pushing close to a 2-year timeline. 
Jay Harris: Okay. And cotton acreage, let's say, it's $12 million this year, up from a harvested $9 million last year. Is there -- as we enter the year, is there much of your product in inventory channels or do you get that kind of a percentage of improvement in opportunity in 2012? 
Eric Wintemute: Good question. With our FOLEX product line, there's not much in the channel. With BIDRIN, there is more than normal, probably twice normal. So though we believe BIDRIN will be up reasonably significantly in 2012. It will probably be more like '13 before we hit maybe the levels that we've hit at max in the past. 
Operator: Our next question is from Bruce Winter, a private investor. 
Bruce Winter: My questions are about the triangle that you had on your corporate presentation on your website, which -- a very nice presentation, I enjoyed it a lot. On existing molecules, can you comment on the orange situation? 
Eric Wintemute: On the -- what situation? 
Bruce Winter: The orange. 
Eric Wintemute: Oh, the citrus cyllid, right. So this -- I mean, yes, so that's a product that we -- when -- a product that got removed and we were looking at, okay, we've got a pretty good portfolio of products and looked at each crop which is -- there's cotton, peanuts, citrus and potatoes. We looked at citrus and said, what do we have that fits that market? And we started positioning DIBROM this last summer and saw that we learned a little bit more about how devastating this cyllid is. And I think you saw in the video that their cost had basically doubled because of this pest and it is devastating, you go in and they used to take one tree out and then the surrounding trees around it because, again, this citrus cyllid puts this virus in -- that basically will essentially take the tree out. And so they -- we saw the amount of spraying and all that the chemistries, I mean, there was no classic chemistries such as DIBROM that was being used. So we're real excited about the opportunity for that going forward. We think we'll see a very considerable ramp-up in 2012. In addition, the cyllid has now penetrated into Mexico citrus and into California citrus. The disease itself has not translocated. But within Mexico, they have government programs now, which we're participating in, on finding solutions to try to keep this from becoming an epidemic. So we think we've got a unique chemistry that will work well in combinations with sprays as kind of an integrated pest management with the existing portfolio that's there. 
Bruce Winter: On the new molecule side of the triangle, as far as I can tell, there have been no new molecules that have generated revenues, just cost. We keep getting press releases about granular soil and fumigants and some biotechnology-type products and potato sprout. Just generally, when is the new molecule side of the triangle going to really kick in for shareholders? 
Eric Wintemute: Well, IMPACT was actually a brand new molecule that we launched in the -- we launched that in, I think, it was 2005. So that's contributed very well to us. We expected SmartBlock to be in the marketplace at this time, in this quarter. And EPA asked for additional data which we're generating and I think we'll turn in, in August. So that's going to push back revenue there until next year. The kind of pipeline of new chemistries that we've got, typically they're in a kind of 3- to 5-year mode that we're doing that. And I think one of the advantages that we see to new chemistries that have already been adapted is that our -- although you're not -- you were going to wind up certainly with failures that you spent money on, and you wind up having to buy that over the total. But with the products, let's say, the SmartBlock that we're getting close to, obviously, impact the actual investment that we're making in these products before they come to market is generally a lower investment than it would be to acquire an existing molecule. So I think it's kind of the balance and I think that's what we tried to show with that triangle, that we're not just dependent on organic growth of our existing product line, although it's a great opportunity for us. We're not dependent on divestitures, which is not necessarily under our control. And looking at the new technologies that there are a number of nice technologies there that we think would have a fit for us going forward and we think we have the expertise to successfully obtain the registrations and launch the product commercially. 
Bruce Winter: Yes, I think this has huge potential in the future. On the acquire existing molecule side of the triangle, just can you comment on -- the FMC acquired 2 products from BASF, they were -- I forget what they were called, but this is the first time I've seen anyone acquire old chemistries from the big chemical companies. Did American Vanguard look at that acquisition? 
Eric Wintemute: We -- just say that we pretty much see most every divestment that there is. There are -- we kind of started making acquisitions in '89 and certainly it's been a major part of our business model, but for most of our acquisitions, there are a number of other companies that are in the bidding process. So there have been -- we feel proud of the success record that we've had, but we've passed on a number of chemistries, we've been outbid on a number of chemistries and there are a number of other companies that compete with us for those divestments. 
Operator: There are no further questions at this time. I would like to turn the floor back to management for closing comments. 
Eric Wintemute: Okay. Well, again, thank you very much for participating and we look forward to our next quarter announcement, which will be not all that far away from a time standpoint. But, again, thank you very much and we're very pleased to be able to present these results to you. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.